Operator: Good morning, ladies and gentlemen. Welcome to the PostNL Fourth Quarter Full Year 2023 Results Call. [Operator Instructions]. Now, I would like to hand over the conference call to Ms. Inge Laudy, Manager Investor Relations. Please go ahead, madam.
Inge Laudy: Thank you. Good morning, and thank you for joining us today in our full year 2023 analyst call. With me here in the room are Herna Verhagen, our CEO; and Pim Berendsen, our CFO. As usually, we will start with the presentation, which you can find on the website and after that, we will open up for Q&A.  Herna, over to you.
Herna Verhagen : Thanks, Inge. Let's start with the key messages and then, of course, that we're operating in a challenging environment in 2023. In many aspects, it was a challenging year. Geopolitical and economic conditions were again uncertain and also had an impact on our operating environment. High inflation and deterioration in mac7roeconomic conditions put real pressure on consumer spending throughout the year. Combined, these developments negatively impacted e-commerce, putting pressure on the sector and on PostNL, leading to the lower results than we had expected. In this environment, we took swift and firm mitigating actions throughout the year to navigate this turbulent environment. We took, for example, smart yield management actions, which included price increases but also scaled our network capacity by, for example, optimizing our routes by planning our fleet better with algorithms, by being very critical at our overhead costs and not filling staff vacancies and in this way, we reduced direct and indirect costs. Last year, we announced the reduction of 200 to 300 full-time equivalents in overhead, which has been finalized by the end of 2023 with a positive impact on 2024. It was crucial for us to stay resilient in volatile times. On this slide, you'll find our key results, some of them already published on January 26, when we published our preliminary results. I would like to focus for a minute on the nonfinancials and Pim will take financial part when he presents the year 2023. I think important in the nonfinancials is our continuing efforts and also success in having consumer accounts in our app. You see an increase of more than 1 million accounts in the year 2023 to almost 9 million at this moment in time. And that's an important element because those 9 million consumers do give us the opportunity and entrance to their personal preferences. We also scaled our out-of-home options in 2023. And I'll come back to this topic later in the presentation because we do think that out-of-home remains to be important or even becomes more important going forward. By the end of the year, we had 903 automated parcel lockers, which is a huge increase compared to 2022 where we ended the year around 500 lockers. We also opened our lockers to third-party operators. Last point I would like to emphasize is, of course, our carbon efficiency. We're a very green company. Our carbon efficiency improved with 24% of CO2 emission-free last miles. And of course, 10% carbon efficiency improvement on our own fleet. An important part of our strategy going forward. Let's quickly move to our business performance in 2023.  And I would like to hand over to Pim.
Pim Berendsen : Thank you, Herna, and welcome to all of you. On Slide 8, we dive into the Q4 and full year financials. Over the last quarter of the year, we recorded revenues of €889 million, slightly higher than in the same quarter last year. We've realized a normalized EBIT of €77 million, which is 28% than in the same quarter last year. The full year EBIT came in at €92 million, which is obviously already the number that we've communicated by the end of January, which is 10% and higher than 2022. Clearly, 2023 has been a year with very significant inflationary pressure. For the full year, we've seen €178 million of organic cost increases, which is really all-time high. And definitely, if you compare it to on average €50 million to €60 million that we've seen historically, that clearly has put some pressure on our margins. We'll dive into organic cost developments and product mix elements in the slides to come. Let's continue with the inflationary pressure. On Slide 9, you see the buildup over the last 2 years, '22 and '23, in total €316 million of organic cost increases, of which €209 million has been offset by price adjustments, but that still leaves the gap of €107 million. What you also see in this graph is that the balance has significantly improved in terms of organic cost increases versus price increases in '23 in comparison to '22. And that certainly a development that we'll continue to focus on in '24. Another element that is important to note is that from the €178 million of organic cost increases, roughly 70% related to labor-related costs. So that's collective labor agreements, minimum wage increases, temporary workers and what have you. So huge cost increases that have impacted our 2023 numbers and we'll see later on that they remain to be impacting also the 2024 numbers. Another important development is the change in volume composition. And over the past quarters, we've talked a lot about unfavorable mix effects, both within Parcels and within Mail. So this slide aims to explain a little bit better what the underlying developments are. And I think it's important to look at the right-hand side of this slide, where you see that in the past, if we split the volumes in domestic including Belgium. So that's all Dutch and Belgium web shops that -- and their volume landing in our networks versus international customers.  In 2022, 14% of total volume was cross border. In 2023 that has significantly increased to 18% and forward-looking to 2024, you should expect it to be roughly 20% to 22%. So a further increase is expected. Those volumes come from relatively small number of customers with a lot of volume and mainly big Asian web shops. That, of course, comes in at lower average prices than the average domestic prices. And within domestic, we also still see that bigger platforms land bigger customers outgrow the smaller ones, also putting pressure on the average price per item. Within Mail in the Netherlands, you see a slightly less exposed change in mix, but still in terms of volume is 24-hour Mail becoming a slightly smaller part of the entire pie. Whilst that product is, of course, significantly more attractive in margins than the long 24-hour Mail items. So those 2 elements are crucial factors to understand, if you look at the '23 numbers, likewise, important to understand if we talk about the outlook going forward a few slides from now. Then the split per segment, on Slide 11, Parcels. Operationally, we had a successful peak. Volumes were up 0.9%, driven by strong growth of international whilst domestic volume was below last year. And as we discussed, we set ourselves up at some point with volume expectations. volume came in at the lower end of what we expected. And that, of course, impacted the financial results in fourth quarter. But comparative-wise, in terms of service offering quality, we're happy with the performance of Parcels in the fourth quarter because it strengthens our competitive position in the domestic space. On Slide 12, we've got the bridge for the fourth quarter for Parcels. There you see, the €24 million reconciled to the '23 of the fourth quarter of 2023, roughly 1% volume growth, driven by international. A positive price effect of €13 million was mitigated offset by a less favorable shift in mix. We talked about that, within the quarter, there is €23 million of organic costs and other costs and other results contributed to a better result as well. If we then go to Mail in the Netherlands. Normalized EBIT came in at €54 million, around 10% lower than last year. Volumes declined by only 1.9%, obviously impacted by roughly €19 million of Mail related to the elections in the Netherlands, so underlying volume decline was around 5% in the fourth quarter. Revenues also reflect a moderate pricing policy and less favorable product mix. Illness rates were up. And as explained in January, that also resulted in a step up in the provision for people that are ill for more than 24 months. What is new in comparison to the January update is that you might have noticed in the press release that in the fourth quarter, there is a difference between EBIT and normalized EBIT of around €3 million. This relates to a fine from ACM that we got from them on Thursday last week. It's related the USO quality requirements of 2021. Clearly, we've argued that because of COVID and all the adjustments that we had to make sure that people could work safely and our staff went out for the rest of the Netherlands to stay inside, that those measures have impacted quality. ACM believes that we should have anticipated COVID and as such, believes that they put a fine on the table. Certainly, we'll be objecting against this because we really do not agree with their logic and their argumentation. But that's an explanation of why there is a difference between EBIT and normalized EBIT in the year. If we go and have a look at the bridge of Mail in the Netherlands on Slide 14. You see the €60 million reconciled to the €54 million. Of course, you see the volume loss in terms of revenue a positive mix effect, but also there you see a moderate pricing policy increases of €60 million, partially mitigated by unfavorable shift, so that only €3 million additional contribution remains organic cost increases and other cost developments in which €10 million of cost savings have been reported for the quarter, which brings the total number of cost savings for 2023 around about the €40 million mark, also what we strive to achieve in 2024. Very happy with the performance on cash flow. Full year cash flow came in at €52 million, an improvement in comparison to the €40 million of last year. Strict cash flow management remains high on our agenda. The fourth quarter brought in a stellar €143 million of free cash flow, thanks to our efforts to bring down receivable positions and to accelerate invoicing processes. Part of that, if you already have the cash, of course, that there is an element of phasing in it in relation to 2024 expectations. CapEx was €126 million, which is €12 million lower than last year and in line with our assumptions. That's the cash flow that leaves the balance sheet on the next slide. As we've talked about many times within 2023, we did everything to strive to get to a leverage ratio significantly below the 2.0. We've ended at 1.7x with an adjusted net debt position of €462 million. We'll continue to manage the balance sheet carefully with this leverage ratio in mind. From the balance sheet, we get to dividends. We'll propose, based on the leverage ratio and our normalized comprehensive income at €52 million, we will be proposing a dividend per share of €0.09 per share at the AGM based on the dividend policy and based on the payout ratio of 80%, which is midpoint of the range of the policy. And I'm sure you will remember that in August, we paid an interim dividend of €0.06, so there remains €0.03 to be paid per share, of course, as an election to the shareholders whether or not to be receiving this in shares or in cash if we get the approval of the AGM on this proposal in April. Then I'll hand it over back to Herna for an update on our strategic actions.
Herna Verhagen : We find it important to shortly, of course, take a step back to our strategy, which we did present already a few times and then look into what are the strategic actions we're taking in 2024, contributing to 2024 award are the ones in 2025 and forward for Parcels and Mail. First, have a look at our strategy. We want to deliver distinctive customer and consumer experience. We want to maintain our position as a leading logistics and postal service provider into and from the Benelux region. Also, of course, here emphasizing that the international volumes are important to us as well. Our strategic foundation is based on 3 pillars: the first one is parcels, which we manage for profitable growth. The second one is, of course, mail, which we manage for value. And the third one is the acceleration of digitization, which we find important to help us in our revenue as well as in our normalized EBIT by, for example, new revenue streams and cost savings. When you think about our strategy, of course, it plays out towards customers and customer value, but also social value plays a role in this, meaning wanting to attract and retain our people, want to be the best in environmental value, becoming more and more important by customers, not only receiving customers, also sending customers and for sure generate a profitable growth and a sustainable cash flow. How does that play out? When you look into Parcels first. I think, in Parcels, we took strategic actions in 2023, resulting in 2024 and of course, also actions which will have an impact or a positive impact on 2025 and the years to come. In Parcels, our aim is clearly to structurally deliver a return that exceeds the cost of capital. With the commercial and operational measures, to which I will come in a minute, we will gradually improve our profitability towards average margin over the year 2019 until 2023. These actions lead to a first contribution of around €35 million in 2024. We still have strong confidence in the growth potential of the e-commerce market and that strong confidence is driven by online penetration and retail spend. These are 2 drivers which we also used over the last few years to underpin the growth behind e-commerce.  When it comes to online penetration in the Netherlands, we still see that the line is growing or moving up, and that also underpins our trust together with, and that's what you see in the more left graph. When you compare us to the U.S. and the U.K., both more mature e-commerce market, there is still an opportunity for growth. Important in that confidence as well is, of course, the e-commerce market and the spend in the Netherlands. 2023, as said by Pim and myself, was not the best year when it comes to consumer spend, but also here, expectations going forward are slightly more positive. So absolute confidence in the growth potential of this market to underpin the fact that we want to come to a return, which is above cost of capital and of course, with an increasing margins, our actions are action more on the commercial side, and I want to go into those first. Here, it's finding the right balance between volume and value. For that, we started in 2023 to have a very targeted approach to the SME segment. We see lots of customers -- of course, needing extra support different than from our big customers. And there, we scaled up our digital services and insights helping those customers to be more successful. And of course, further emphasis on our cross-border initiatives to attract volume from Asia and Europe, where we do see growth, already explained, and expect to see that growth in 2024 as well. We're looking into which Parcels can we attract with favorable prices and which we want to price differently. For example, heavy weighted parcels is one of the objects we're looking into and making certain changes. Important to us here is to maintain the number one in NPS as we are today. That is a position we want to solidify because that is a very important element in customers' choice for their -- of course, for the organization they work with and keep market share at least stable. And with the growth we forecast, of course, for the year 2024, we expect that in the international market, we gained slight market share from others. Managing the value comes together with strict cost control and network rationalization. And here, a few elements are important.  On the one hand, we're simplifying our products and services, which enables us to do a redesign of our networks. For example, the rationalization of our same-day activities and Sunday delivery activities. We combined our time certain network together with our transport organization and the integration of both organization also gives us possibilities and opportunities to integrate the networks further, and therefore, of course, also reduce kilometers. We're encouraging the out-of-home delivery as we see that consumers are more and more wanting to have a 24/7 possibility to deliver and return, and our parcel lockers are a unique combination for that. And of course, looking into our last mile where we see optimization possibilities. And as said, already contributing in 2024 to €35 million. The story for Mail in the Netherlands is not about 2024. This is a story for year 2025 and further. And here we say, we want to aim to consistently -- to achieve a rate of return that exceeds cost of capital. And therefore, we need to transition towards an adjusted service level. The time has come to change our business model within Mail. If you look into the external developments, we see a very strong volume decline over the last 10 years, 35%; over the last 20 years, 70% of volume decline which, of course, impacts the organization. Also, consumers show a totally different need. We see a strong decline with customers and consumers in the need for 24-hour Mail, 65% over the last 10 years.  The non-24-hour Mail is relatively stable compared to 2019 because of, of course, the consolidation with Sandd, but the impact on 24-hour Mail does have an impact on margin. In consumers and consumer service, we did over the last few months also clearly say that they are very satisfied with having 2 or 3 days a week delivery. And we see pressure on costs, mainly, of course, caused by high inflation, which impacted Dutch minimum wage, which is also impacted by the scarcity we see in our labor market. For the year 2024, we've put into place €40 million of cost savings. Those cost savings will not come from this change in business model. They will comes from a further improvement of earlier started reorganizations and changes and of course, our moderate pricing policy. After 2024, we want to change our business model.  So far, we managed to stay financially healthy. That's what we did with the consolidation of Sandd with the reduction of preparation locations from 260 10 years ago to 20 now, optimizing our delivery with peak and drop days, reducing our sorting centers, reducing the amount of letterboxes in total cost savings of more than €500 million, and still €40 million to come in 2024. But the time has come that we're a little bit out of options. What we did see in neighboring countries that they already changed the USO. So they explored the possibilities. And we see that from a few years ago where everybody had a 24-hour service, except a few, we're now in a situation that most of them work -- deliver within 2 days or within 3 days.  What we did do over the last year is look into several options, like network integration together with Parcels, like regional differentiation, like changes in our collection. The most favorable is changing the service level. Decision criteria were, of course, people. How can we do the change without a too big impact are, of course, our customers and society? What is the expectation they have for mail services? Is it operationally doable? And does it have -- the decided financial impact to cover our cost of capital and to create sustainable margin. That's how we came to our most desired change, and that is, from what we do today, which is when you post it today, we deliver it tomorrow to when you post it today, we deliver within 2 days, and over time within 3 days. And of course, priority mail next-day mails remains to be possible at a higher price.  What we did do with the communication today is to set a very clear direction to keep our postal services sustainable. What is necessary for that is an adjustment of postal regulation. With this change, quite a lot will remain. What remains is, of course, accessible, reliable and affordable mail. We provide employment for thousands of people. Remaining is priority delivery within 24 hours when necessary. Remaining is moderate annual price increases and of course, focus on further efforts on cost control and modernization and innovation.  What will change is our service level through delivery within 2 days and over time within 3 days, fitting to customer and consumer needs. 80% of consumers do say that when they receive mail 2 or 3 times a week, they're happy. It also fits, of course, to a very -- to a labor market -- that is very tight and will remain to be tight. This gives us the opportunity to, of course, reduce people, fill the vacancies. And for the rest of the reduction, we can use natural attrition, and it is a potential for future cost savings. Necessary, of course, is a relief in USO requirements. And with the publication today of how we see a sustainable postal service for the future or for the years to come, we expect that politicians, together with the Ministry of Economic Affairs, will start a discussion on the modernization of postal services in the Netherlands to maintain a sustainable service for the next coming years. Let's look into our outlook for 2024 and of course, also a translation of these 2 strategic action stories into numbers.  And I hand over to Pim.
Pim Berendsen : Thank you, Herna. On Slide 31, will start to explain the transition from 2023 to 2024. And there you see the €92 million for '23 and the outlook that we have set of €80 million to €110 million. You can quite clearly see a step-up in performance in Parcels, a further step down in Mail that leads to this range. I think there's a few important assumptions to discuss. Again, organic cost increases will be high, not at the level of '23, but still €155 million is what we expect, of which roughly €130 million will be wage related.  So the balance is shifting even more to wage-related organic cost increases in comparison to previous years. We'll offset that with roughly €135 million of price adjustments, where the balance at Mail is net positive. In other words, Mail will put forward more price increases than organic costs. But at the e-commerce parcel side, that will still be a negative balance. And that, of course, has impacted the margins at Parcels. We will realize the €25 million run rate cost savings of the reduction of the 200 to 300 FTEs that we've announced last year. And then, of course, other drivers related to volume, composition of volume and the growth that we expect.  On domestic, and is the combination of the growth in the Netherlands and the growth in Belgium, we do expect a 2% to 4% growth, which is a function of roughly 1%, 1.5% consumer spending growth, a little bit of online penetration growth and more or less in line with market growth. We don't expect to lose any market share in '24. Double-digit volume growth on the international side. We already discussed that. So the relative importance of cross-border will further increase from 18% of total volume towards 22% in '24. So another 4% point step-up, which brings the total volume growth at 7% to 10%. Prices are up, but as discussed -- unfavorable development in product and customer mix put pressure on margins. Herna talked about the adjustments that we are making on the network and from that -- and together with a strict cost control, we'll get €35 million of contribution. So within Mail in the Netherlands, we expect a 7% to 9% volume decline with cost savings within the year. And as Herna said, not related to the future changes of regulation, but just executing and creating the run rate, implications of changes already made of €40 million within 2024. In more detail, we thought it is wise to help you on a segment level to understand the progression from '23 to '24 and you'll find that on 32, where clearly you can see the step-up in revenue driven by higher volume growth within Parcels, of which the biggest component is driven by international customers. Negative mix effect, quite significant mix effect, organic cost increases that are higher than price increases. And then in other costs, you'll find the improvements that we just discussed of €35 million, to change to the networks, focus on efficiency improvements [indiscernible] and other results, slightly positive, which is the combination of spraying the integrated logistics solutions and some other smaller parts. Within Mail, you'll see, of course, the impact of the volume decline with a positive mix slightly positive -- close to 0 mix effect. Organic cost increases that are lower than the price increases and other costs that are, of course, a function of the €40 million of cost savings that we expect to realize within the current business model within 2024. That brings us to the outlook page and the quarterly split. So we'll expect a normalized EBIT of €80 million to €110 million with a normalized comprehensive income of €40 million to €70 million with free cash flow between 0 to €40 million, and CapEx is to be expected at €110 million.  So another step down in comparison to the levels of 2023. And of course, we aim to pay a dividend that develops in line with operational performance. We still have to acknowledge that the external environment remains uncertain and -- but we do expect economic conditions to gradually improve over time but still be challenging and volatile within 2024. Then beyond 2024, a few markers, on which we will focus on. Going forward, we aim to deliver a return that structurally exceeds the cost of capital. At Parcels, the growth in e-commerce drives volume and results, and we're taking all the necessary commercial operation measures to gradually improve the profitability. And as discussed, they are related to targeted yield strategies, rationalization of services, encouraging out-of-home delivery options and continue to balance investments in working capital as well as rationalization of the network to support more operational leverage. And in the base scenario, we gradually expect the macroeconomic conditions to improve. Of course, exact timing and extent uncertain. But we aim to get back to our average margins over the period 2019 to 2023 because of the drivers that we just discussed.  At Mail in the Netherlands, today, we've set a clear direction on how to keep the postal service in the Netherlands sustainable and achieve a return that is sufficient to cover the cost of capital. The service level for standard mail will transition towards delivery within 2 days and over time, moving towards 3 days. That will allow us to take cost out and deliver a better quality. Adjustments in regulation are necessary, not for all the improvements, but important, nonetheless. And we are committed to keep the postal network in the Netherlands accessible, reliable, affordable for all Dutch inhabitants. And on that note, thank you very much for your attention. I'll hand it back to Inge.
Inge Laudy: Yes. Thank you. So operator, can you please open up for Q&A please.
Operator: [Operator Instructions] Our first question comes from the line of Amy Lo from UBS.
Amy Lo : My question is on the proposed shift from the next-day delivery obligation towards the 2- or 3-day delivery that you talked about. Have you initiate any discussions with the regulators on the matter? And should they have any objections to the proposal to what extent can they push back on the decisions or view to it, if that's the case? I'm curious what the process there might look like?
Herna Verhagen: So we -- of course, the publication we did today doesn't come as a surprise for our regulators. Also, the first remarks are already made by the Ministry of Economic Affairs that they understand that certain changes are necessary and that they start their own process. So that's one. Do we expect pushback? No, we do have the trust that the arguments we have in the change -- of course, consumer expectations, the changed market, the change need for urgency mail, et cetera, et cetera. We expect that our arguments in the end also bring enough urgency to politicians. So what does the process look like? I expect that after today, there will be quite some discussions with the politicians responsible for postal files in parliament. And then this will be picked up by new cabinets. And we don't know yet, of course, when a new cabinet will be formed or will be in place, and hopefully, it has enough urgency to then immediately start discussing it.
Operator: Our next question comes from the line of Marco Limite from Barclays.
Marco Limite : I've got two. The first one is on your outlook for Parcels volumes, which if I've done the math right, implies domestic volumes, as you say, in the range 2% to 4% and international volumes, let's say, up 20% to 30% throughout the year. So the question is where do you get confidence that indeed international volumes will be -- will grow so fast throughout the year, and this is not just, let's say, a temporary trend? And the second question is on -- while you have said, earlier you have mentioned that you are working on integrating networks. Can you just clarify if with integrated networks, you mean integrating -- better integrating the Parcel and the Mail network? And if yes, I think you only have mentioned first mile and middle mile. Why you're still running -- let's say, 2 separate last mile networks for Mail and Parcels.
Pim Berendsen : Do you take them all?
Herna Verhagen: Yes, it's okay.
Pim Berendsen : On the first question, Marco, thank you for your questions. In relation to the international growth, your math, nothing wrong with that. So indeed, significant double-digit growth. That is a continuation of the trend that we saw, of course, already over the last year. And next to that, I think there's also -- it's just a limited number of customers that lead to this volume. And we've managed to convert one of the ones that we did not service yet in '23 into '24. That will order next to the kind of market growth component also lead to a little bit of market share gain in that international domain, that together leads to the step-up as you have calculated. So that is the answer on your first question.
Herna Verhagen: Integrating networks, I think let's split the discussion between Parcels and Mail. So first to Parcels. I talked about first, middle and last mile because when we talk about Sunday delivery and same-day delivery, that is a last mile network. Where we see possibility in the first and middle mile is in the integration of our time-sensitive network together with our transport. And when we talk about optimization possibilities in the last mile. We took, for example, in an optimization and rationalization of what we do on Sunday and what we do for same-day. And these are the examples which will have a positive effect in 2024, and we're working on other examples in first, middle and last mile that will help us contributing to 2025 and the years to come. It's not about the integration of Mail and Parcels because that's one of the -- it's one of these scenarios, we, of course, looked into before we said, okay, service levels and change of service level is the best way forward when it comes to our Mail operation. So we're not planning to integrate Mail and Parcels and the reason why that in the Netherlands is still the most optimal choice is the simple fact that Netherlands is a relatively small in square meters, which means that we have -- everywhere in the Netherlands are quite dense when it comes to parcels. Nevertheless, we still do 1.7 billion letters a year against 340 million parcels. So we're not at the point that it contributes to margin to integrate those network. It will only lead to higher costs. And that's the reason why it's not a doable option at this moment in time. And if we truly want to come to sustainable margins, it's the service level direction we have to choose.
Operator: Our next question comes from the line of Marc Zwartsenburg from ING.
Marc Zwartsenburg : The first one is on the free cash flow guidance for Pim. Whilst you're guiding for the free cash flow below the one we've seen in '23. Well, have a little bit less CapEx in '24 compared to '23, probably also less divi. So can you explain me what's explains the gap a bit? Can you give a bit color to the free cash flow guidance, please?
Pim Berendsen : Marc, yes, of course. Thanks for your questions. A big driver behind that is, of course, the delta of working capital. Well, we've done very, very well performance in fourth quarter, making sure that we collected a lot of the cash that was due, but also changed our invoicing processes. And that, of course, leads to a slightly more negative performance next year -- this year, I should say. So it will stick, but the entire year, it was a positive working capital of €23 million, and that will turn into an investment in working capital for this year. So part of the over performance of last year will stick, but part will be, as said, phasing in 2024. So that is the biggest explanation of the reconciliation that we're trying to make.
Marc Zwartsenburg : Okay. Very clear. And you mentioned also the fine from the ACM. Can you share the number with us? Payable in '24 as well?
Pim Berendsen : Yes, it will be payable in '24. It is €2.6 million. And as I said, the likelihood that we'll go into appeal or in whatever the legal term will be object against this is, of course, very high because we certainly do not agree with their argumentation. But it's €2.6 million. And what normally happens that you have to pay first and you can object of appeal later. So you should expect this to be an outflow either in Q1 or just in the beginning of Q2.
Marc Zwartsenburg : And then on the -- on these potential savings you would receive from going to a 2-day delivery and later on a 3-day delivery, what would be the -- because I know some numbers from way back, but yes, volumes are no different. Inflation is different. So what will be the saving if you go to a model of, say, nonpriority in 2 days and then later on to 3 days? Can you share a bit the numbers with us?
Herna Verhagen: We can -- we will not share the numbers at this moment in time, Marc, because focus needs to be on, of course, getting speed in the discussion that we need to change. And we first, of course, moved to delivery within 2 days and then over time move to delivery within 3 days. The reason why it's more efficient and therefore, that we will be able to save cost is in the fact that we still, of course, deliver 5 days a week but will not come to every street 5 days a week. So we will move, from now we are 5 days a week delivery, 5 days a week, every day, every street, we will go to 5 days a week delivery for the urgent mail, and we deliver 3 days a week in a street. That optimization means that you can, of course, combine much more mail in one route, and that means that the mail deliverer has a more efficient route -- nowadays, he has only 50% of the houses where he puts mail in the mailbox, that will increase, of course, when you have more mail on a day. Secondly, it also means that we can make more efficient and more optimized processes in collection and in also the preparation of the mailbox. So there are several levers where we can do -- where we can reach higher efficiency in focusing mail and combining mail to 3 days a week. And it's always -- and that's what we said already a few times today. So it needs postal regulation change. We're not asking for a change of 5 days a week delivery to lesser days. What we're asking for is to have an extension of the amount of days in which we have to deliver. So we would like to have a broader service level, giving us 2 days and over time, 3 days to deliver a letter. When you look into our quality today, then already today, we will be able to deliver 96% of our letters within 2 days. I think last to say about this is, of course, we focus on USO mail, but of course, we are going to combine also all business mail. So in the end, this will be, of course, a change in service level for all mail we have.
Marc Zwartsenburg : Very clear. But it sounds to me that it's a multi €10 million -- more efficiencies in the network. Would it be enough to get the margin a little bit up again? Or is it more to protect the margin in the Mail business beyond '24?
Pim Berendsen : As you've seen in the bridge Mail, margins and profit comes down in '24 on the outlook that we've given. What we said is with the measures that we announced, we think we were able to stabilize the returns on Mail at a level that's good enough to carry the cost of capital.
Marc Zwartsenburg : After '24?
Pim Berendsen : After '24, yes. So taking into account the time lines that Herna just discussed. And then it's not illogical to say that, that should lead to tens of millions of additional savings because otherwise, we won't get there. And that's just by a function of what the elements here and I shared. So on the lower volume base, you can take cost out, you've got more letters per stop. And those are the drivers that will lead to that improvement over time.
Herna Verhagen: I think to be clear, Marc, we will not get this discussion going by focusing on our cost savings and a return above cost of capital, although for us, the main drivers behind the change, that will not be the main drivers, of course, for politicians to change. But there, it's much more in the changing consumer demand. Therefore, all the consumer surveys we did over the last half year to find out what is it -- what truly is what the consumer needs and wants together with the fact that shortage in labor, we will be helped by, of course, bringing the mail together on a few days. It will help us to fill in the vacancies we have and it will help us to truly increase our quality. Those are the arguments which you understand, are probably much more fitting to politicians. In 2024, we remain to work in the current business model.
Marc Zwartsenburg : The earliest is next year --
Herna Verhagen: Earliest is 2025 indeed. And that also means that the €40 million which we have as a saving target for 2024, comes from a further improvement on already started reorganizations and changes in 2022 and 2023.
Marc Zwartsenburg : Very clear. And maybe then one, if I may. You also mentioned you want to get back to the average margin in Parcels of 2019 and 2023, just above 6%. What's the kind of time line to get there? Do you need 3 years of mid-single-digit volume growth? Can you give a bit more color on how to get there because it's quite a step-up from here?
Pim Berendsen : It is a step-up. Of course, what do you already see is that there is an improvement from '23 to '24. If you take into account, let's say, that the -- the balance between organic cost increases and price increases in Parcels is more negative than in total because Mail is positive. One of the areas, of course, is that we gradually need to make sure that the 2 of them will be better balanced or leading to a net positive. If you take that into account, that's already quite a significant additional step-up in margins with the latest view on slightly reduced inflationary expectations and also longer term, slightly less increases in wage increases are expected, if you look at the latest view, that is an important element. Next to that, kind of the changes to the network that will make it more flexible and will help us to create more operational leverage whilst volume increases continue. So those drivers together will define the trajectory. We want to get there as quickly as we can, but we're also partly reliant on the macroeconomic circumstances. So I cannot say and 2 years, 3 years. Our aim is definitely not to need more than 3 years to get there. The sooner the better. And one step is that you can already see in '24, that there is a better balance between price increase and cost increases, only not yet at the level that we need to get to. So we'll need to progress that further and that's in our plans for this year and next.
Operator: Our next question comes from the line of Henk Slotboom from The Idea-Driven Equities.
Henk Slotboom: If you don't mind, I'll do the same way as Marc did, and 1 add-on question to start with on the backlog, what Marc already asked. First of all, let me say, I'm very happy to hear that you finally started the discussion on the service model in Mail. But what held you from, for example, implementing this model, straightaway in the non-USO segment? There's mixed consignments. You have 3 services level there. You have a 24-hour Mail. You have a 48-hour service level and you have the flex model. Hypothetically, there's nothing legally, at least, withholding you from implementing that model -- that's as of the end of the first quarter or something like that. And if you want, you can stop it today, I guess.
Herna Verhagen: I think a few elements to your question, Henk. In the end, it is possible for us, of course, to start with the non-USO segment within 2 days delivery framework. So it's part of the possibilities we have. Depending a little bit on the speed of the discussions in Parliament, we can choose for that or not. That's one -- let me first try to answer the question. Secondly, if you want to do that change, it's not an overnight change, and that's what you know as well. It means that you have to change all your contracts. It means that you have to change the working hours of the people working for us. So it does need quite some preparation to do this in the right way for our customers, which is crucial. Otherwise, we lose volume instead of what we win. And to do it right, of course, also for employees and to get the quality we want to get. Thirdly, we've looked into lots of possibilities, and this is, of course, one of them. In the time between the introduction -- sorry, implementation of non-USO service segment to a window of delivery within 2 days. If the time is too long, from your USO mail, then it's also not cost efficient. So the combination of the two is most cost efficient for us because we can do the change at once and prepare it well. If necessary, we can split. If the time between the two is too long, it's also, again, not cost efficient. So yes, of course, we will prepare as we do always when it comes to cost savings. But if and when, depends also on the speed of the discussion in Parliament.
Henk Slotboom: Okay. That's clear. You -- I believe you said in the presentation, you or Pim said in the presentation. If you go to a different service model, 2 days, 3 days, you need less people. Now I can imagine you have -- you still have a lot of open vacancies. That's clear, and there are problems in -- on the labor market, the tight labor market, which you're suffering from as well. But I can imagine that the unions, which are currently at the negotiation table, trying to negotiate a new CLA for the mail people, how did they look at this? Because less working days means less people -- is it -- don't you -- aren't you afraid that, that is going to change the attitude from the Sandd of the unions. FNV already asked €16 per hour. I understood that [indiscernible] and CNV are, well, more realistic, let me put it in those phrases. What do you sense -- I guess you've tested this -- the temperature of the water among the unions as well when it comes to a different service model in Mail.
Herna Verhagen: We do -- yes, to be honest, we don't expect that it will influence their negotiations in the CLA and it also has quite some positives for unions to go to a different service level and to mention the positives for you. As we said, at this moment in time, we do have quite some vacancies, which are structural. So it's very difficult for us to fill them. This model gives us the possibility to fill part of those vacancies. That's one. Those vacancies also lead to what we call work pressure. So we do ask people to do an extra round to deliver the mail. And we don't do that once. We do that, of course, quite often to be sure that we deliver as much as possible. That, in the end, also has an impact on illness rates. And meaning that, of course, when you look into the model of delivering within 2 days a week, it will have a positive impact on work pressure. And thirdly, we've looked into, of course, how do we want to change and what is the speed of change and what is necessary to that? And we expect to do that by a natural attrition or by far via natural attrition, which is also positive for unions. So there also quite a positive elements in this change. And I think, do not forget that in the end the reality is that consumers and customers do bring us every year 8% last mile, that's one. And secondly, the amount of priority mail even decreased much higher. So there is an end to what we can do and that is also very clearly seen by the unions. They also do see, of course, the deterioration of the margins of mail over the last few years.
Henk Slotboom: Okay. Then a question perhaps for Pim. Pim, if I look at Slide 32, and I look at the organic cost increases at Parcels and at Mail, I'm a bit surprised about the overall picture. If I look at it, that it's roughly 66 -- sorry, 2/3 of the organic cost increase is roughly in Parcels and roughly 1/3 in Mail, 60-40, 2/3, 1/3, I don't know. What explains that because I understood that the Mail division is most affected by what has been happening on the minimum wage front. Apart from that, there are more people working in Mail. How come that the cost -- the organic cost increase in Parcels is bigger than the organic cost increase in Mail you expect for 2024?
Pim Berendsen : Well, the size of the costs and the people working there is significantly different. So it's not only the domestic e-commerce business, which is in the segment of Parcels. There's also logistic solutions. There's spring, there's different parts. Belgium is there, obviously, as well. So that is the most important explanation. And yes, a big part of the €134 million is wage -- sorry, it's minimum wage related, let's say, that's roughly €40 million to €45 million out of the €134 million of total labor cost increases. That is, of course, predominantly visible in Mail. But let's not forget that a collective labor agreement raises impact the e-commerce segment more than Mail. The follow-through of NEA indexation towards delivery partners, it is certainly something that we'll only see within the Parcels segment. So those are elements that you need to take into account when trying to split €155 million.
Henk Slotboom: Okay. And then a final question, that is on the delivery quality and the fine you received from ACM. I fully agree with you that 2021 was an exceptional year with regard to COVID, but if I look at 2022, the delivery quality was 91.4%. And last year, the delivery quality was 88% with 82% even in the final quarter of the year. Should I be afraid for even higher fines from ACM because 2023, you can blame the labor market, but there's no such thing as, for example, COVID, what played a role in 2021? Yes, what's your view on that?
Pim Berendsen : Well, first and foremost, we split 2020, 2021 from '22 and '23 and exactly, as you said, so '21 is, in our view, impacted by COVID, different ways of working. So that's one part. The other 2 years are really related to a fundamental change in labor markets that just made it impossible for us to get the number of people in to deliver all the mail routes. And we've clearly illustrated in numerous occasions towards ACM with all the measures that we've taken to limit that number, that there is a clear correlation between the number of vacancies and the loss of quality compared to the standards. So that will be our arguments to fight of as much as we can potential fines for those years. From an accounting point of view, we've taken a bit of provision, but I'm not going to be too precise. I don't want to jeopardize PostNL's position whilst that is still under discussion.
Herna Verhagen: And the impact of strategy is much higher than the impact of COVID.
Henk Slotboom: Yes, I understand. But once again, the question is, how reasonable is ACM? And my experience --
Pim Berendsen : And they put a fine 2 days before us issuing an annual report. So it's not about the reason -- it's all about what are our arguments. [indiscernible] we will object in the best way against this fine. And then we'll see what happens. Of course, we take an eye on '22 and '23, have provided for it, but it will be a conversation. And of course, that ties into also the main topic of today, we need to get to that different service level within Mail. And just to give you a market there, if we look at '23 and look at, let's say, or within 2 days delivery, we easily exceed the 95% already. So it's not that the mail doesn't come to the consumer. It is there, but just a little bit delayed because of the fact that we have too little people given the tight labor markets. So there are the 2 elements, find each other in today's storyline.
Operator: Our final question comes from the line of Marco Limite from Barclays.
Marco Limite : I've got a few follow-up questions, please. So the first one, if you could give us a bit of color on the exit rates in terms of Parcels volume growth in Jan and February. The second question is actually back on the USO reform. So do I get this right that you see beyond 2024, very limited scope for further cost savings. And therefore, in a scenario where the USO reforms takes longer than expected, basically in 2025, you will be in a situation where you cannot cut costs much more or you can get much more cost savings on top of what you have done over the last few years? And just a quick question, if I may. Yes, you have go out free cash flow guidance for 2024. I think that assuming a broadly stable dividend next year versus this year, you will have €50 million of cash outflow. So probably the free cash flow won't cover the dividend payment next year. And I think you've also got some bonds to be repaid or to be rolled over in 2024. So, yes, generally, overall, how confident you are on your, let's say, credit position?
Herna Verhagen: So let me first answer your question on the USO reform and then we do the other 2. Does it mean that we do not have anything in our back pocket for 2025? The answer is, of course, no. We’re already restructuring that company for the last 15 years. So that doesn’t stop as of 31 of December 2024. That’s one. Secondly, and that was also highlighted by Henk. There is a possibility to do, of course, business mail earlier than USO mail and bring business mail to – within 2 days delivery framework. That’s also and always an opportunity or possibility we have. So we’re not looking that black to 2025, as you phrase it, but we do want to emphasize, and that’s the reason why we start the discussion today to be in time on the changes necessary for the long term – for a long-term sustainable mail delivery in the Netherlands.
Pim Berendsen : And on your question on exit rates. If we look at Jan and Feb volumes, they are in line with expectations. So in line with the growth rates that we’ve set for the entire year. So looking in line with plan, both in terms of what we did expect for those months and in terms of composition of that volume, which, as you realize, is important as well. So that is that. On free cash flow guidance, yes, some – a lot of things will happen below the free cash flow line. Dividend is one. But of course, let’s say, the full year dividend over the book year 2024 is only partially paid within the year. And there that will be, indeed, refinancing. We’ve got a bond that terminates in November of this year. And of course, we will be looking at the most efficient way to refinance, knowing the current cash position, knowing our cash flow expectations. We’re preparing that and we still believe that there is a good market with solid credit rating that we still have to refinance against favorable terms.  So I’m not worried about that. We have started the preparations and I’m sure we will be able to do that in an appropriate way.
Operator: Thank you. Due to time constraints, this concludes our question-and-answer session. So I’ll hand the call back to Ms. Laudy for closing remarks.
Inge Laudy: So thank you all for listening. If you have any further questions, please reach out to us. And thank you for today. Enjoy your day.